Operator: Good day and welcome to today's Universal Display Corporation fourth quarter and fiscal year 2010 earning conference call. Today's call is being recorded. At this time I'd like to turn the conference over to Joe Hassett. Please go ahead.
Joe Hassett: Thank you and good afternoon, everybody. With us today are Steve Abramson, President and Chief Executive Officer and Sid Rosenblatt, Chief Financial Officer of Universal Display Corporation. Let me begin today by reminding you that this call is a property of Universal Display. Any redistribution, retransmission or rebroadcast of this call in any form without the expressed written consent of Universal Display is strictly prohibited. Further, as this call is being webcast live and will be made available for a period of time on Universal Display’s website. This call contains time-sensitive information that is accurate only as of the date of the live webcast of this call, March 15, 2011. All statements in this conference that are not historical are forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. These include, but are not limited to, statements regarding Universal Display's beliefs, expectations, hopes, or intentions regarding the future. It is important to note that these statements are subject to risks and uncertainties that could cause Universal Display's actual results to differ from those projected. These risks and uncertainties are discussed in the company's periodic reports filed with the SEC. Universal Display disclaims any obligation to update any of these statements. Now I'd like to turn the call over to Steve Abramson, President and CEO of Universal Display. Please go ahead, Steve.
Steve Abramson: Thank you, Joe. And welcome to everyone listening on today's call and webcast. First, as you all know, we have had long-term relationships with a number of companies, researchers, and individuals in Japan. We, like others around the world, are deeply saddened by the tragic situation there after the earthquake last Friday. On behalf of our entire company, we would like to let all of our partners and friends know that they are in our thoughts and prayers. This afternoon, I'll start with a very quick overview of our financial results. I will then will discuss highlights from the quarter and update everyone on our latest plans and developments to grow our [ph] legacy and material supply businesses in both the display and lighting markets. Sid will then follow with more detail on our financials before we open the call to questions. I am pleased to report that our revision for the fourth quarter and full year rose significantly. Revenues for the fourth quarter doubled and revenues for the year almost doubled. Likewise, our operating loss decreased dramatically, by approximately 50%. Net loss was about the same due to the accounting for our stock warrant liability, which Sid explains every quarter and which he will again explain on this call. We are pleased with our financial performance this past year. Sid will go through all the detail in a few minutes. This year may have represented the beginning of the long-awaited inflection point for the OLED display market. Our revenue growth over the course of the year is consistent with the success of the bright, beautiful energy-efficient displays. Powered by our Universal PHOLED Technology and materials, displays have come to be an important feature consumers are demanding of their high-end smartphones and other hand-held devices. Of the more notable accomplishments, on January 3, 2011, Samsung announced the Galaxy S, their bestselling smartphone had sold over 10 million units globally in just the seven months since it was first introduced. Recently Samsung unveiled their new continuum phone, the Sports2 Super AMOLED with touchscreen. A 3.4-inch primary display and a secondary 1.8-inch display. The Super AMOLED display is also featured on Samsung's Galaxy 4 SG, which Mark Spoonauer of Laptopmag.com described as “the kind of screen that can make otherwise mundane footage of New York City traffic look positively cinematic.” In May, Samsung expects to begin shipping the Galaxy S2, the successor to the Galaxy S. It has a 4.3-inch WVGA Super AMOLED plus display is only 8.49 mm thick at its thinnest point. Samsung is already working on the next generation of OLED displays, officially known as OLED Max. The technology is based on more accurate, natural-looking colors. Several other enhancements are designed to improve brightness, detail, and contrast as well as outdoor visibility. An OLED Max 2 also appears to be in the works, but the due date and specifics remain unknown. Smartphone companies are jumping on the OLED-display bandwagon. In December Google introduced their Nexus S smartphone. Distributed by Google, the Nexus S is made by Samsung. It's the first smartphone to feature a curved glass for its super AMOLED contoured display. The Google Nexus S joins AT&T Pantech Laser, Verizon's Droid Incredible, and Nokia E7 on the list of smartphones from leading providers who are driving the demand for OLED displays. In addition to the 4-inch smartphone display market, OLED technology is moving into commercial adoption in the tablet world. At FPD in 2010, Samsung showcased a 7-inch super AMOLED display. The tablet market has tremendous growth potential and provides excellent midsized products for OLEDs. Of course, all the industry talk has been about how the shortage of AMOLED displays has been a gating factor for a faster, broader adoption of OLED technology. But at a true market adoption rate, we're left with estimates on just how big the OLED market could eventually become. For instance, *search, a leading global market research and consulting firm specializing in the display supply chain predicts that 75 million cell phones with 3-inch or larger screens will use OLED displays in 2011. Separately, Vinita Jakhanwal, director of Small and Medium Display Research at iSuppli, believes there is a tremendous demand for OLED, especially in smartphones. In 2010, 300 million smartphones were shipped. Jakhanwal predicts that that number will rise to at least 400 million this year with many of those high-end smartphones expected to utilize OLED displays. In a press release announcing their 2011 Global Flat Panel Display Partners Conference, SEMI, the semiconductor equipment and materials international, forecasted that the OLED display market will achieve a compound annual growth rate of 30-50%, driven by adoption of AMOLED displays for mobile phones and portable media devices. Manufacturers are responding. Samsung SMD is expected to substantially increase their monthly production capacity of mobile displays when they open their new Gen-5.5 AMOLED plant this summer. When all lines in their new plant are operational, they will be able to produce 30 million 3-inch displays per month. They have announced they are budgeting $4.8 billion in 2011 for OLED production facilities, and have estimated 600 million hand-held devices could be using AMOLED screens in 2015. Meanwhile, AUO [ph] track Executive VP Paul Pang has said that AUO is currently installing equipment for AMOLED production on their Gen-3.5 line and they're scheduled to start mass production in the second half of 2011. It also appears the OLED TV market is keeping up. Barry Young, managing director of the OLED-Association sees 1-2 million 30-40-inch OLED televisions in 2012 so they're expected to be costly. 2013 and 2014 Barry Young sees 5-6 million AMOLED TVs, and by 2015, he anticipates 10-15 million  OLED TVs priced very competitively with LCD and plasma devices. LG Display, Sony, and Samsung have all discussed plans to introduce OLED televisions in the next few years. In fact, Mr. Young has said LG is getting ready to order the equipment for their Gen-8 OLED fab in Paju, Korea. The Gen-8 fab processes [ph] glass at 2.2 by 2.5 meters which LG will cut in half to yield 24,000 substrates a month for the manufacture of 55-inch and 30-inch TV panels. This would suggest that LD is on track to be ready to produce OLED TVs by 2012. And, LG's new Gen-5 4.5 OLED production lines are expected to be in operation soon. Production should start around 4,000 substrates a month and increase to around 12,000 substrates a month by year end. This would result in approximately 1.5 million 30-inch displays per month. As this new manufacturing capacity comes online from LG, Samsung, and others, we expect to see a much wider and faster growth of OLED displays and hand-held devices. We also continue our work on phosphorescent OLED material systems for use with low-cost solution-based manufacturing processes as an additional method for the cost-effective production of large-area OLED displays and lighting devices. We already mentioned that our P2OLED devices are now approaching the performance of PHOLEDs made by vacuum thermal operations. We also demonstrated ink jet P2OLED devices with comparable performance through devices made by spin coating. These and other development expand the opportunities for OLEDs to achieve substantial penetration of the larger screen markets. Especially true for television, OLED technology has inherent technical advantages over LCD displays such as faster response time, making it ideal for 3-D applications. We also continue to advance our flexible display technologies which SEMI predicts will be a $10 billion market by the end of the decade with application such as mobile displays, e-newspapers, and even wearable displays. In addition to displays, our key OLED offer the opportunity to capitalize on the emerging market for new lighting technology. In a recent report by the OLED-Association, white OLED devices could be in a position to compete in the approximately $100 billion lighting market in the next few years as luminous and lifetimes continue to improve. Last year we teamed up with Moser Baer Technologies to design and build the first US-based white OLED lighting manufacturing facility. In October, they announced an $11.5 million investment in state-of-the-art equipment for the Canandaigua New York Pilot manufacturing line. As we announced last April, we and Moser Baer were awarded $4 million by the Department of Energy to support this project. The Moser Baer facility, which will use our [ph] PHOLED  technology and materials, provides a key next step in developing a manufacturing base and marketing for OLED lighting [ph] prox in the United States. (inaudible) made at this facility will help feed the lighting market with a new range of white OLED lighting products. It's an honor to be working with Moser Baer and the Department of Energy to help bring high-tech manufacturing jobs to the US. Just a final note relating to our business in Japan and the current crisis because I'm sure the question will come up. From a business perspective, while we have many strong relationship and friends in Japan, Japan is not currently a source of significant revenue for the company. With that, I'll turn the call over to Sid, who can take you through all the financial results in more detail.
Sid Rosenblatt: Thank you Steve, and again, thank you everyone for joining us on the call today. I'll be reviewing the financial results for the fourth quarter and full year 2010 as well as share some insights from the quarter after which we will open the call to take your questions. Revenues for the fourth quarter totaled $10.8 million, an increase of $5.9 million, or approximately 120% compared to revenue of $4.9 million for the fourth quarter of 2009. On a sequential basis, revenues advanced $3.7 million over the third quarter of 2010 as our business continues to build momentum. Commercial revenue was $4.5 million for the fourth quarter, an increase of approximately 140% compared to commercial revenue of $1.9 million for the fourth quarter of 2009. The increase was primarily due to increased commercial chemical and royalty revenue, which mainly represents chemicals shipped and royalties received under our patent license agreement with Samsung SMD. Developmental revenue was approximately $6.3 million for the fourth quarter, an increase of approximately 110% compared to developmental revealed of $3 million for the fourth quarter of 2009. The increase was primarily due to a $3.5 million increase in development chemical sales. Total operating expenses for the fourth quarter were $11 million, up from $9 million from the fourth quarter of 2009. This is consistent with company growth over the past 12 months and within company expectations. Research and development expenses for the fourth quarter were $5.6 million, up from $5.1 million from the same period in 2009. This is consistent with the company's expectations for the quarter. Selling, general, and administrative expenses for the quarter were $3.3 million, up from $2.9 million for the same quarter in 2009. The increase was mainly due to increased employee costs, primarily stock compensation, costs associated with the implementation of unfunded executive officer pension plans. Patent costs increased to $1.5 million for the quarter compared to $700,000 for the fourth quarter of 2009. The increase is mainly due to the timing of prosecution and maintenance costs associated with a number of patents and patent applications as well as the timing of course for certain ongoing and new patent matters. For the quarter, we reported an operating loss of $200,000, down by $4 million from the $4.2 million operating loss reported for the fourth quarter of 2009. The operating loss in the fourth quarter was also a $3.7 million sequential improvement from the third quarter's operating loss, and the fourth quarter represented our best quarter of operating performance of the year and in the company's history. Due to some large, nonoperational charges that affect our bottom line, we believe that operating performance is a better indicator of our fundamental financial performance that is our net loss. In particular, at the end of of the fourth quarter, we had outstanding warrants to purchase approximately 587,000 shares of common stock, which warrants contain a down round provision requiring liability classification. The change in fair value of these warrants during the period resulted in a $4.8 million non-cash expense on our fourth quarter statement of operations. This is in contrast to a $90,000 non-cash gain for the same pay period in 2009. The warrants mature in the third quarter of this year. The net loss for the fourth quarter was $5.3 million or $0.14 per diluted share compared to a net loss of $3.8 million or $0.10 per diluted share for the same quarter of 2009. In 2010, revenues were $30.5 million, up 93% from $15.8 million in 2009. Commercial revenue was $11.1 million for the year compared to $6.1 million for 2009. The increase was primarily due to an increase of $3 million in commercial chemical revenue and an increase of $1.9 million in royalty revenue, which mainly represented royalties received under our patent license agreement with Samsung SMD. We had an operating loss of of $10.2 million for the year compared to an operating loss of $20.3 million for 2009. The decrease in the operating loss was due to an increase in revenue of $14.8 million offset by an increase in operating expenses of $4.7 million. We had a net loss of $19.9 million, or $0.53 per diluted share for the year compared to a net loss of $20.5 million or $0.56 per diluted share for 2009. The change in the net loss was primarily due to an increase in the operating loss of $10 million offset by an increase in the stock warranty liability of $9 million. Developmental revenue was $19.4 million for the year compared to $9.7 for 2009. The increase in developmental revenue was primarily due to an increase of $8.6 million in development chemical revenue, largely due to increased purchases of development chemicals by LG Display and other customers (inaudible) commercial OLED production. Cost of chemicals sold increased to $900,000 for the year compared to $400,000 for 2009. Cost of chemicals sold only represents costs associated with the sale of commercial chemicals. Certain [ph] respecifications were made in the statement of operations in 2009 and 2008 to reflect this presentation. We incurred research and development expenses of $21.7 million for the year ended compared to $21 million for 2009. The increase in research and development expenses was consistent with our expectations based upon the growth of our business. Selling, general, and administrative expenses were $13 million for the year compared to $10.9 million for 2009. The increase in selling, general, and administrative expenses was mainly due to increased employee costs of $1.4 million due primarily to increased salaries and stock compensation for certain executive officers and expenses of $1 million related to net periodic benefit costs associated with the implementation of our unfunded executive officer pension plan. Patent costs increased to $4.3 million for the year end compared to $3.2 million for 2009. The increase was mainly due to the timing of prosecution and maintenance costs associated with a number of patents and patent applications as well as the timing of costs for certain ongoing and new patent matters. Cash used in operating activities was $4.2 million for 2010 compared to $14.6 million for 2009. The decrease usage of cash in operating activities is mainly due to a decrease the net loss of $11.2 million after excluding the impact of non-cash items and the impact of the timing of payments of accounts payable and accrued expenses of $2.6 million, offset by an impact of the timing of receipts in accounts receivable of $3 million. Liquidity also benefited from the nearly $15 million of proceeds received from the exercise of common stock options and warrants during the year. Working capital was $57.3 million as of December 31 2010, which included a stock warrant liability of $10.7 million compared to $53.7 million as of December 31 2009. The stock warrants will either expire or be exercised by August 2011, resulting in no cash outlay on our part. Working capital excluding the stock warrant liability was $68 million as of December 31 2010. Our balance sheet remains strong with cash and cash equivalents and short-term investments of approximately $73 million as of the end of the year, this is about $9 million higher than it was at the start of the year. Regarding Samsung, we are continuing to work with them as we negotiate toward what we expect to be a win-win arrangement. With that, I would like operator to compile a  Q&A list and we will start taking your questions.
Operator: Thank you. Today's question and answer session will be conducted electronically. (Operating Instructions) And we'll go first to Yair Reiner.
Yair Reiner: Thank you, so my first question has to do with the sizable investment that both Samsung and LG Display are putting forward this year to do a large-size test line. There have been a number of competing technologies that you have talked about in the past for being able to manufacture larger-generation fabs. I'm wondering what are you seeing in terms of progress on that front that you think has given the panel makers incremental confidence to go and spend those billions of dollars on the test line? And do you have any sense of which of these competing manufacturing technologies might be in the lead?
Steve Abramson: I think manufacturers are seeing a constant improvement in the yield performance and size of the substrates that are able to be handled by vacuum thermal evaporation. We've seen that that can go all the way up to a Gen-5.5, what used to be less than a Gen-2. They're also seeing I believe some improvements in the ink jet printing P2OLED technologies as well as possibly [ph] lippy or thermal laser types of printing. I know that our object is to make sure that whatever technology the manufacturers use, it will have our phosphorescent OLED materials used in them, so we're making sure that our materials are usable in all different configurations.
Yair Reiner: Got it, and just one more and I'll get back in the queue. Can you give us an update on where you are with green? How many customers are testing it? Any sense of when you might be able to make an announcement about that going into commercialization?
Steve Abramson: Green is being widely sampled from a technical standpoint it seems to have no problems, and when the manufacturers start adopting it, we'll be able to announce it.
Yair Reiner: Thank you.
Operator: And we'll take our next question from Jim Rashudy with Needham & Company
Jim Rashudy– Needham & Company: Hi, good afternoon. Apart  from SMD on the commercial revenue line, was there any other customer concentration of overall revenues? Samsung was about 40%?
Steve Abramson: Yes, and there is just some small commercial chemicals sold to another customer, but most of it is, on a commercial side, Samsung.
Jim Rashudy– Needham & Company: Okay, and Sid I haven't seen the 10-K but I was wondering if there is any color you can provide just the development revenue line? I think sequentially it was up about 50% and just wondering what some of the components that might have driven that were?
Sid Rosenblatt: Well as I mentioned, the bulk of it is in development chemicals sold to LG. The development chemicals were up about $8.6 million for the (inaudible) -
Jim Rashudy– Needham & Company: Okay.
Sid Rosenblatt: And LG is in the scale-up process and has been for the past six or eight months, and as you're aware, until they put it into a commercial product, we record it as developmental chemicals.
Jim Rashudy– Needham & Company: A few weeks ago, you announced that you had acquired the IP patents that Motorola had. I wonder if you could just talk a little bit about that. I don't know if any of the terms of the transaction are in the 10-K, but I was wondering if you could talk a little bit about that?
Sid Rosenblatt: No, the terms are not disclosed, but we think this is something that made a lot of sense for us in terms of aggregating IP in the OLED space. We had a license agreement for these patents, but it made some sense for us to acquire them when the opportunity came up, and we think it was a good move on our part, and it's something that makes a lot of sense.
Jim Rashudy– Needham & Company: Okay, was it something where you had the right of first refusal or anything like that?
Sid Rosenblatt: We actually signed a license agreement. We had a license agreement with Motorola in 2000, but as you're aware, we also had ongoing royalties that we had to pay, so by acquiring these patents, we no longer have this royalty we have to pay in the future. We now own those patents.
Jim Rashudy– Needham & Company: Okay, I was just wondering about the timing of it, and I'm assuming that it may have something to do with some of the changes at Motorola or is this - ?
Sid Rosenblatt: I don't really have an answer for you in terms of the timing of it, when it occurred when it did.
Jim Rashudy– Needham & Company: Okay, and just last question. Just with respect to a couple of the op-ex lines, on the SG&A side, that was down a little bit sequentially. Is there anything going forward anything – should we assume that moving up a little bit closer to Q3 levels?
Sid Rosenblatt: Yeah, I think you need to look at the whole year and predict it by that and quarter four (inaudible) things like that, so I really do think you need to look at the whole year and see what the trend is and we should continue (inaudible)
Jim Rashudy– Needham & Company: And R&D next year, should we assume is similar type of level or up a little as you invest a little bit more?
Sid Rosenblatt: I think it will go up a little bit but I don't see it going up significantly.
Jim Rashudy– Needham & Company: Okay, thanks very much.
Sid Rosenblatt: Thanks, Jim.
Operator: We'll take our next question from Rob Stone with Cowen and Co.
Rob Stone: Hey guys, way to finish the year.
Sid Rosenblatt: Thanks, Rob.
Rob Stone: I apologize, I couldn't quite catch what you said about the cost of chemicals and you've reclassified and it's now only showing the cost of commercial chemicals, so my two-part question is could you just give us a little more color on the breakdown of revenue, how much were chemical sales in commercial and development and roughly what was the margin on each of those? If the line that shows cost of chemical sales is only commercial, where does the cost of development chemicals appear in the P&L? Thanks,
Sid Rosenblatt: I'll answer that backward. The cost of development is really an R&D expense, so it will appear in research and development, it is costs that are associated with our arrangement with PPG Industries. So as we scale these, we realized it made sense that it was really R&D and trying to allocate the R&D costs to these specific chemicals is [ph] different, so it really was an R&D expense so we made a decision to only include it on the commercial chemical side. Commercial chemicals for the year were up about $9 million compared to last year. So these costs are only associated with the direct costs of acquiring these from PPG.
Rob Stone: So that means your R&D line is apt to fluctuate somewhat now with the revenue from development chemicals as well?
Sid Rosenblatt: Somewhat, that's correct. This year was up. Because it was LG, we actually expected to be in commercial production first part of this year, and they just bought a lot of chemicals.
Rob Stone: Okay, and are you able to say how many customers besides LG are purchasing development chemicals at this point?
Sid Rosenblatt: There's at least ten, or more. A lot of our customers that we have agreements with that we've announced, short-term agreements and development agreements buy these materials. We've got a number of companies that we've worked with over the years. On our website we've got lighting companies that have shown - LG Chem, PDW also displayed OLED lighting conference and in it they said that it has our (inaudible) materials. So it is quite a few companies.
Rob Stone: Not trying to get you into a pattern of guiding by quarters just yet, but along those lines, given the very strong momentum in the business, do you see any sense of a seasonal revenue pattern in March or is all of that just going to be overpowered by the increase in capacity that's in the pipeline?
Sid Rosenblatt: We actually saw it last year. The first quarter of last year, even though the numbers were much smaller, was lower than the fourth quarter, and I think there is some seasonality in this business, and we expect some seasonality.
Rob Stone: Okay. My final question is a housekeeping one. Does the non-cash charge for the stock warrant liability have any tax effective whereas if we want to get to the operational EPS?
Sid Rosenblatt: No, it does not. There is no tax effective.
Rob Stone: Okay, thank you.
Sid Rosenblatt: Thanks, Rob.
Operator: And we'll go next to Darice Liu with Brigandine Advisors.
Darice Liu: Good afternoon, guys. In -
Steve Abramson: Hi, Darice.
Darice Liu: In terms of landscape customers, you talked about the big three: SMD, LG, AUL, but there are a number of other players  that are working on or have [ph] announce invest in OLEDS such as [ph] BLE, (inaudible), orders of (inaudible) products. Can you talk about your visibility of new commercial customers coming online outside of the big three?
Steve Abramson: The short-form version Darice is that we know most of the players in the industry, but we've only announced a limited number because any types of relationships require both of us to talk to agree to announce it.
Darice Liu: I guess I was trying to figure out – right now as we're modeling, we're focused on those three players SMD, LG, and AUL. But with these other companies working on OLED and with you working with them, is there any visibility or time line when you see X number of customers in 2012 or 2013 actually coming online from a commercial standpoint?
Steve Abramson: Darice, I think the short-term, the big three as you call it, are going to be the drivers in this market. I know a lot – many of the companies that you mentioned are in various stages of development of OLEDs but I think it will be a while.
Sid Rosenblatt: We don't see any significant numbers in the foreseeable future from any of those.
Darice Liu: And I guess the second question is, following up on the [ph] FOLEDs materials, you mentioned that those materials are approaching comparable (inaudible). Is that across the board for all the colors? And could you provide an update on what's going on with customers (inaudible) possible commercialization of your RGB1/B2 architecture?
Sid Rosenblatt: We're probably seeing better - closer results in red and green than we are in blue on the P2OLEDs, we're taking it color by color. But we are seeing significant improvement on that side. And RGB1, B2, we're seeing some nice customer interest. It's a very interesting technology to get lower (inaudible)into the market early using a light blue phosphorescent material, but we don't have any updates to announce yet.
Darice Liu: Okay, thanks guys.
Steve Abramson: Thanks, Darice.
Sid Rosenblatt: Thanks, Darice.
Operator: And we'll go next to Jed Dorsheimer with Canaccord.
Jed Dorsheimer: Hi and thanks and congratulations on the quarter, guys.
Steve Abramson: Thanks, Jeff.
Sid Rosenblatt: Thanks, Jeff.
Jed Dorsheimer: Pretty straightforward. I just have one question. In the commercial chemicals, any green in that, or is that still categorized 100% in development?
Sid Rosenblatt: Yes, it's still 100% in development.
Steve Abramson: Thanks, Jed.
Sid Rosenblatt: Thanks, Jed.
Operator: (Operator Instructions). We'll go next to Andrew Abrams with Avian Securities.
Andrew Abrams: Hi guys, congratulations also. And just maybe you could point us toward a spot at which you think commercial chemical numbers beat out your development chemical numbers? Just on an absolute basis, is there at point at which you would expect that to happen this year or is that a 2012 kind of issue?
Sid Rosenblatt: Off the top of my head, I think the bulk of it was LG. Obviously we have others customers that will be ramping up. I think they will transfer into commercial. And as Samsung brings it Gen-5.5 facility online this year, we see that that obviously has much more capacity than its existing line, so I think this year you will see shifts go into commercial chemical as opposed to development chemicals. I think this year was somewhat of an aberration with LG taking somewhat longer than expected.
Andrew Abrams: Is there anything you can tell us about the negotiations with Samsung that you haven't already discussed ad nauseam? Is there anything new that we can kind of focus on?
Sid Rosenblatt: Probably not beyond the ad nauseam conversation that we've had.
Andrew Abrams: Can you give us a time line would even help. Just one other quick question. On B1 B2, is this being shown to a number of customers or is this primarily a Samsung kind of issue at this point?
Steve Abrams: We've actually presented it at technical conferences. We've talked to a number of people about it.
Andrew Abrams: Got it. Okay, great Thanks a lot.
Steve Abrams: Thanks, Andy.
Operator: And we'll now take a followup question from Jim Rashudy with Needham and Company.
Jim Rashudy: Thanks. While it's not going to be a big part of your revenues going forward, you sometimes have a better sense of what your contract research research revenue might look like. Any sense as to how we might think about that in 2011?
Sid Rosenblatt: It was about $5 million for 2010 and $4.4 for 2009. It might be up a little, I don't see it going down, but I don't see a significant increase in it.
Jim Rashudy: Okay. Sid or Steve, within the development chemicals area apart from LG, is there anything of any significance that you're seeing in that area on the lighting side in the quarter and are you seeing – I wonder if you could just talk about the activity on that part of the business as you think about 2011?
Sid Rosenblatt: I think for 2011, we've seen there are a number of customers that have purchased small quantities of material. They are making demos. I don't believe you'll see large quantities because no one is scaling up for large-scale manufacturing. But I think you will continue to see developmental chemicals category on the lighting side because there is a number of customers that – I just mentioned a few – that are showing lighting demos, working on it trying to come up with designs, and then you'll see with our Moser Baer relationship them starting once the facility gets a little further along, we'll start working on the materials. So there's a number of them, but I don't see it being a big number for the year.
Jim Rashudy: Okay, and then as we see LG shift to commercial, the commercial line, will development chemicals still primarily be display related in 2011?
Sid Rosenblatt: Primarily, but it's like I said, in that category is the lighting companies also.
Jim Rashudy: Okay, thank you.
Operator: And we'll now take a followup with Yair Reiner with Oppenheimer & Co.
Yair Reiner with Oppenheimer & Co.: Yes, thank you. Just a question on the commercial chemical revenues. They're up about 55-60% quarter on quarter. I believe that your largest customer, Samsung, their capacity appears to have grown a lot less quarter on quarter something on the order of 10-15%. Can you maybe explain where the discrepancy in the amount of chemicals you sold versus the capacity they added, where that discrepancy might be? Has their use of the chemicals become less efficient or what else might explain that?
Sid Rosenblatt: On a quarter to quarter, it's particularly – we're talking about fourth quarter of last year, third quarter of last year. It really depends on their purchasing, depending on whether they've purchased. Since the numbers aren't that big, they purchased a lot in one quarter, they may have some left over for the next quarter. I think that they are being as efficient with the materials as they can be, but I don't see much change in their capacity during the quarters that I think you're talking about. Their facility I think was running pretty much full out during these last two quarters.
Yair Reiner with Oppenheimer & Co.: So what does that imply for the March quarter? I think that they still don't have significant capacity coming on from December to March so should we assume the demand from commercial chemicals should be flattish near term until they start ramping the new facility?
Sid Rosenblatt: I think that's correct. I don't see any – there's no increased capacity in this facility and it really is once the Gen-5.5 starts in the second quarter.
Yair Reiner with Oppenheimer & Co.: Thank you.
Sid Rosenblatt: Thank you very much.
Operator: This does conclude today's Q&A session. All the time I'd like to turn the conference back over to Mr. Steve Abramson for any additional or closing remarks.
Steve Abramson: I would like to thank everybody for your support and have a good rest of the day. Thank you.
Sid Rosenblatt: Thank you.
Operator: This does conclude today's conference Thank you for your participation.